Operator: Good morning. I would like to turn the call to Bob Marshall, Vice President, Investor Relations and Treasurer. Mr. Marshall, you may begin your call.
Robert Marshall: Thanks, George. Good morning and welcome to Zimmer Biomet’s fourth quarter 2015 earnings conference call. I’m here with our CEO, David Dvorak, and our CFO, Dan Florin. Before we start, I like to remind you that our discussions during this call will include forward-looking statements. Actual results may differ materially from those indicated by forward-looking statements, due to a variety of risks and uncertainties. Please refer to our SEC filings for detailed discussions of these risks and uncertainties. During our call, we will compare revenues on a constant currency adjusted pro forma billing day basis. This means revenues for prior year periods have been adjusted to reflect the inclusion of Biomet revenues and the impact of previously announced divestiture remedies, with growth rates measured on a per billing day basis. Additionally, expense ratios and related margin analysis through operating profit will be computed on the basis of adjusted pro forma financials, as revised, adjusting the all periods for inventory step-up and other inventory manufacturing related charges, certain claims, special items, intangible asset amortization, financing, and other expenses related to the Biomet merger and certain tax adjustments as applicable. Reconciliations of the non-GAAP financial measures discussed during our call to the most directly comparable GAAP financial measures are available on our website at investor.zimmerbiomet.com. In addition, we have posted to our website updated combined historical financials, as revised, along with adjusted pro forma revenue guidance. With that, I’ll turn the call over to David Dvorak.
David Dvorak: Thanks, Bob. This morning I will review our fourth quarter and full-year financial results, as well as key highlights from our performance. Dan will then provide additional financial details and discuss our guidance for 2016. In June of 2015, we joined together two innovative companies and began executing our plans to expand our leadership position in musculoskeletal. Our combination provides significant growth opportunities with a highly complementary portfolio of product and service offerings as well as an enhanced ability to improve operating margins and drive free cash flows. The early success of our execution of these plans is reflected in our strong earnings performance. In the second half of 2015, we over-delivered against our initial net synergy targets, further validating our confidence and the effectiveness and accretive value of our combined organization. Notably, in 2015, we generated our fifth consecutive year of adjusted operating margin expansion. During the fourth quarter, we substantially completed the integration of our global commercial organizations. These actions have included the appointment of proven sales leaders and experienced sales representatives, in addition to product cross-training activities to ensure appropriate emphasis on our market-leading large joint reconstructive businesses, as well as an enhanced focus on faster growing non-large joint categories. Based upon our significant progress, we’re confident in our ability to drive sequential revenue improvement as we progress through 2016. Turning to market conditions, in the fourth quarter, global musculoskeletal markets demonstrated stability with sequential strength in the United States, offsetting a degree of softness in emerging markets and certain countries within the European, Middle East and Africa region. With respect to pricing, we experienced price pressure of negative 1.3% in the quarter. Our resulting price decline for the year of 1.9% was in line with our expectations. Moving on to our performance, Zimmer Biomet achieved stable global revenue growth in the fourth quarter with sequential improvement in the United States alongside continued solid results in the Asia-Pacific region. Consolidated net sales for the fourth quarter were $1.93 billion, an increase of 58.1% reported or an increase of 0.5% over the prior-year period adjusting for billing day differences. Importantly, our large joint reconstructive and S.E.T. categories in United States delivered 240 basis points of sequential year-over-year improvement compared to our flat sales results in the third quarter; more broadly, revenues in the Americas region increased by 0.5% in the fourth quarter. In the Asia-Pacific region, we delivered 4.0% sales growth, and our sales decreased by 1.5% in the Europe, Middle East and Africa region. Full-year sales for 2015 on an adjusted pro forma basis were $6.0 billion, an increase of 1.1% over 2014. Zimmer Biomet’s knee business grew sales by 2.2% in the fourth quarter, reflecting positive volume and mix of 4.1% and negative price of 1.9%. Our knee results were led by improved performance in the United States and an ongoing strong contribution from the Asia-Pacific region, which delivered 8.2% growth over the prior-year period. Our Americas segment increased revenues by 1.4%, and our Europe, Middle East and Africa region grew knee sales by 0.6%. Our commercial teams achieved this result with the portfolio of solutions that meet the personalized needs of each patient, while addressing surgeon and hospital preferences. Knee sales growth was driven mainly by Persona, The Personalized Knee System, a leading cross-sell opportunity, but was also supported by the strong market demand for the Vanguard 360 revision knee system, as well as the bicruciate preserving and clinically proven Oxford Partial Knee System. Sales from our hip business decreased by 0.6% in the fourth quarter; including positive volume and mix of 1.6% and negative price of 2.2%. Our Asia-Pacific region revenues increased by 0.7% and hip sales decreased by 0.8% in the Americas as a positive performance in the United States was offset by Latin America results. Our Europe, Middle East and Africa sales decreased by 1.0% from the prior-year period. In future quarters, we will continue to pursue growth with our broad hip portfolio, including our G7 Acetabular System, Taperloc Complete Microplasty stems and the Arcos Femoral Revision System. Turning to our SET product category, sales in the fourth quarter increased 1.6% over the prior year period. We achieved solid results with our Sports Medicine, Surgical and Extremities portfolios, which were offset somewhat by our Trauma sales performance. The ongoing growth of our sports medicine offerings is highlighted by our Gel-One Cross-linked Hyaluronate and Subchondroplasty treatments. In Surgical, our sales were supported by the performance of our Transposal Fluid Waste Management System and A.T.S. Automatic Tourniquet System, which continue to expand our presence in the operating room suite. Within Extremities, we’re addressing a broad range of clinical situations and surgeon preferences as evidenced by the commercial success of our comprehensive Total Shoulder System and the Nexel Total Elbow. In future quarters, we’ll leverage our specialized sales-force and robust Trauma portfolio for improved results, with innovative solutions such as the DVR Crosslock Distal Radius Plating System, the AFFIXUS Hip Fracture Nail System and the Natural Nail System. Worldwide dental sales decreased by 6.7% in the fourth quarter. Our dental category experience revenue headwinds due to a supply disruption related to a voluntary field action in response to a packaging issue. We are in the process of remediating this matter and we expect to do so fully by the close of the first quarter, which will help position us to reestablish our momentum in dental in the second-half of the year. We remain encouraged by the early success of our cross-selling activity, particularly with our market-leading regenerative product line as we progress through the integration of this business. Zimmer Biomet spine, craniomaxillofacial and thoracic category revenues decreased by 2.0% from the prior year period. Our craniomaxillofacial and thoracic team continue to deliver strong growth, driven by steady demand for our TraumaOne and SternaLock Blu Systems as well as growing acceptance of our RibFix Blu System. With regard to spine, we successfully completed the integration of our U.S. spine commercial channel with anticipated near-term revenue dyssynergies slowing our growth in the quarter. We believe this business is well-positioned for accelerated performance in 2016, with a more comprehensive portfolio of innovative spinal solutions including the Virage OCT Spinal Fixation System, the Polaris Spinal System and the Timberline Lateral Fusion System. With that, I’ll turn it over to Dan, who will continue this discussion in greater detail, as well as review our guidance. Dan?
Daniel Florin: Thank you, David. I will review our fourth quarter performance in more detail, and then provide additional information related to our first quarter and full-year 2016 sales and earnings guidance. Our total revenues for the fourth were $1.934 billion, an increase of 0.5% constant currency compared to the fourth quarter of 2014 on an adjusted pro forma billing day basis. Net currency impact for the quarter decreased revenues by 4.4% or $90 million. The negative currency impact for the quarter was related to the ongoing strength of the U.S. dollar against many international currencies. As David reviewed, we were encouraged to have substantially completed the integration of our commercial teams, which contributed to the sequential improvement of our reconstructive and S.E.T. performances in the United States, which increased over a flat year-on-year growth rate in the third quarter to 2.4% this quarter, in line with our expectations. However, we did have some unanticipated headwinds, including decelerating market condition in certain emerging and southern European countries, as well as the dental field action which David referenced. These conditions led to our overall constant currency sales growth coming in at the bottom of our guidance range. Our adjusted gross profit margin was 75.6% for the quarter and 20 basis points less when compared to the prior-year adjusted pro forma results due to the impact of foreign exchange and price declines mostly offset by gains from our cash flow hedging program. The company’s R&D expense was 4.4% of revenue at $85.9 million and 20 basis points higher when compared to the prior-year period. Adjusted selling, general and administrative expenses were $723.6 million in the fourth quarter or 37.4% of sales, an improvement of 170 basis points over the comparable period in the prior year. We continue to achieve process and operational efficiencies in the fourth quarter through the ongoing implementation of initiatives designed to capture synergies. In the quarter, the company recorded pretax charges of approximately $533 million in special items, primarily related to the Biomet acquisition and integration related expenses. Adjusted fourth quarter 2015 figures in the earnings release exclude the impact of these charges, which include $380 million of non-cash amortization and inventory step-up charges as well as $120 million of integration costs. A full reconciliation of reported net earnings to adjusted net earnings is included in this morning’s press release. Adjusted operating profit in the quarter amounted to $652.4 million or 33.7% of sales, a 120 basis point improvement over the prior-year period. Net interest expense for the quarter amounted to $88 million, consistent with expectations. Adjusted net earnings were $428.3 million for the fourth quarter, an increase of 39.2% compared to the prior year period. Adjusted diluted earnings per share increased 17.4% to $2.09 on 205.2 million average outstanding diluted shares. These adjusted earnings per share are inclusive of approximately $0.03 of share-based compensation. Adjusted diluted earnings per share for the year increased 7.8% to $6.90 on 189.8 million shares. Our adjusted effective tax rate for the quarter was 23.8%. The company had approximately 202.6 million shares of common stock outstanding as of December 31, 2015, increasing from 169.7 million as of December 31, 2014 due primarily to the Biomet transaction. During the quarter, the company invested $150 million to repurchase 1.4 million shares. As of December 31, 2015 approximately $450 million remained available under the existing share repurchase authorization. Operating cash flow for the quarter amounted to $433.2 million, an increase of 22% over the fourth quarter of 2014. This result includes $114 million of cash expenditures for integration and initiatives related to our synergy program. Free cash flow in the fourth quarter was $303.7 million, which was 12% higher than the fourth quarter of 2014. Capital expenditures for the quarter totaled $129.5 million, which included $80.4 million for instruments and $49.1 million for property, plant and equipment. During the quarter, the company repaid $350 million on our term loan bringing the repayment total in 2015 to $500 million. Our gross leverage ratio at December 31 was 4.0 times. I’d like to now turn to our guidance. I will provide revenue and adjusted earnings per share guidance for both the first quarter and the full-year. Additionally, I will review our expectations for free cash flow in 2016. Beginning with our market assumptions for 2016, we believe that the musculoskeletal markets in which we participate will grow approximately 3%. We expect global market conditions to remain stable in 2016, when compared to the full-year 2015. Price is forecasted to be approximately negative 2% consistent with the last several years. For 2016, we estimate our adjusted pro forma revenue growth to be in a range of 1.5% to 2.5% on a constant currency basis. Foreign exchange is expected to decrease revenues by 2.0% primarily driven by the euro and Australian dollar along with certain emerging market currencies. Taken together, revenue growth for the year should be in a range of negative 0.5% to positive 0.5% or a range of $7.415 billion to $7.490 billion. As David outlined, with the integration of our commercial organization substantially complete, we expect constant currency year-over-year revenue growth to improve sequentially as we progress through 2016. In terms of quarterly revenue phasing, we expect first quarter constant currency growth of 0.5% to 1%. And I would guide you toward market growth rates, as we progress through the second-half of 2016. We will drive revenue acceleration across multiple product categories with offerings such as Persona, The Personalized Knee System; The Oxford Partial Knee; Gel-One Cross-linked Hyaluronate; Knee Creations Subchondroplasty; and the Arcos Modular Femoral Hip Revision System; additionally supported by a cadence of new product launches. We expect to realize increasing sales-force productivity over the course of the year, driven by added stability and specialization in our global sales organizations, and supported by the benefits of our medical education and training programs. As you move down the income statement for 2016, assuming currency rates remain near recent levels, we expect our gross margin ratio to be between 75.5% and 76%. This takes into account anticipated gains on foreign currency hedges, principally from the euro and Japanese yen. I would like to note that the company won’t realize the full annual P&L benefit from the suspended medical device excise tax in 2016, because it was largely treated as an inventoriable cost. The portion that provides relief to the P&L during the year amounts to approximately $20 million and we intend to reinvest this benefit in R&D to accelerate our innovation and growth opportunities. We expect R&D expense for the year to be in the range of 4.5% to 5.0% of sales. SG&A is expected to be approximately 37% of sales as we continue to realize efficiencies from our synergy initiative and further leverage revenue growth. Assuming interest rates remain near recent levels, we expect net interest and other expense of $365 million. This incorporates our debt repayment plan throughout 2016. We anticipate and adjusted effective tax rate to be approximately 26%, which is in line with our final full-year rate for 2015. We anticipate the diluted weighted average shares outstanding for the first quarter to total approximately 204 million shares and in a range of 203 million to 204 million shares for the full year. This share count considers additional share repurchases plan during 2016; therefore, full-year adjusted diluted earnings per share is projected to be in a range of $7.80 to $7.95. Given our early success in capturing cost savings, we remain on pace to deliver our net operating EBIT synergy target of $350 million by the end of year-three with approximately $225 million of cumulative net benefit achieved by year-end 2016. As I stated earlier, we expect revenues to increase between 0.5% and 1.0% on a constant currency adjusted pro forma basis when compared to the first quarter of 2015. At this time, assuming currency rates remain where they have been during the first month of this quarter, we anticipate foreign currency translation will decrease our reported first-quarter revenues by an estimated 2.5%. Therefore, we expect first-quarter revenues to be between 1.5% and 2.0% below the prior-year period, or a range of $1.870 billion to $1.880 billion. We expect gross margin and operating expense ratios to be similar during the first quarter, as those realized in the fourth quarter of 2015. Our adjusted effective tax rate is expected to be between 26.5% and 27%. Therefore, we expect first-quarter adjusted earnings per share to be in a range between $1.90 and $1.95. Turning to cash flow, we anticipate full-year 2016 operating cash flows to be in a range of $1.65 billion to $1.75 billion, inclusive of approximately $290 million of expenditures in support of our synergy program. This compares to full year 2015 of $863 million. This includes total capital expenditures for the year, which are expected to be in a range of $550 million to $575 million. Instrument capital is expected to be in a range of $300 million to $325 million in support of our cross-sell initiative, as well as new product introductions. Traditional PP&E is expected to be approximately $250 million, including $105 million necessary to rationalize facilities and ERP systems, as well as optimize our manufacturing and logistics network. Free cash flow is therefore expected to be in a range of $1.075 billion to $1.020 billion for the year. Our guidance assumes that we will continue to delever our balance sheet with planned debt repayments of approximately $1 billion. Exiting the year with a leverage ratio of approximately 3.5 times on a gross basis or just under 3.0 times on a net basis. We intend to return excess cash to our stockholders through our share repurchase and dividend programs. Free cash flow in excess of these capital allocation programs is assumed to be held in cash and cash equivalents or other investments. For modeling purposes, intangible amortization expense for the year is estimated to total approximately $600 million. And finally, please note that our guidance does not include any impact from other potential business development transactions or unforeseen events. David, I’ll turn the call back over to you.
David Dvorak: Thanks, Dan. As we approach the opportunities of the year ahead, the substantial completion of our commercial integration combined with our broad and highly complementary portfolio, positions our business for accelerated top-line growth. In addition, we have supplemented our product offerings with an enhanced R&D investment that is 60% greater than existed within either stand-alone company. During 2016, we expect to release the cadence of differentiated products, technologies and services across the entirety of our musculoskeletal portfolio. Taken together with our demonstrated approach to discipline capital allocation, we’re committed to accelerating revenues and sustaining operating margin and earnings-per-share growth through the balance of the decade. And now, I’d like to ask George to begin the Q&A portion of our call.
Operator: Thank you, sir. Ladies and gentlemen, we will now take your questions. [Operator Instructions] Our first question is from David Lewis with Morgan Stanley. Please go ahead.
David Lewis: Good morning.
David Dvorak: Good morning.
David Lewis: So just two questions, I’ll start with Dan and then one for David. So, Dan, I think the one thing about guidance that stands out to us, obviously is the EPS guide looks strong, obviously confidence at the high-end of the range, rather materially above the Street. So can you drill down on this, this early in 2016, obviously, what are the factors that give you the confidence in that earnings visibility in 2016? And then a quick follow-up for David.
Daniel Florin: Sure, David. What gives us confidence is really the integration and synergy program and the progress that we continue to make and the clear line of sight that we have to the synergy opportunity as we progress through 2016. If you recall, at the time of the merger announcement, we announced $135 million of net EBIT synergies in year one. And then, during the Q3 call, we raised that to $155 million and stayed with the $350 million by year three. As we look at 2016, we see $225 million of cumulative net EBIT synergies in the P&L and we have good line of sight to that. So that’s what gives us strong conviction and the ability to deliver on that synergy, along with the ability to see sequential improvement on the top line and the flexibility we have with our capital allocation.
David Lewis: Okay. Thanks, Dan. And, David, I think investors are getting more confident earnings, but obviously to move the multiple the organic growth has to go higher. I think from our math the picture of the fourth quarter were sort of one still of stability. And so how do you move from stability in the fourth quarter to sort of improvement in the - throughout 2016 and sort of what provides you the confidence that we’re going to get that that steady organic progression here? Thank you.
David Dvorak: Right. David, I think it is appropriate to characterize the fourth quarter performance as you did. And yet, I would tell you that the progress that we made on the commercial channel integration was very, very significant. Probably the most important element of the integration as a whole, as Dan said, we - and you referenced, we have a high degree of confidence in our ability to deliver on the operating synergies. But with the progress that we made in the fourth quarter to a point sales leaders across the globe, intermediary management level and clarify the roles of reps in all product categories, through compensation plans, the bags that they are going to be carrying, the territories that they’re going to be selling to, targets for them for 2016. All of that clarity and visibility along with a really aggressive effort to get people trained up on products that - six months ago they weren’t at all familiar with, because they didn’t have in their bag. That sets us up to make the progress that we’re referencing in 2016. So - and then we’re already seeing the beginnings of the cross-sell coming to fruition, as well we had some very successful kickoff meetings with further product training education, and I would tell you that the attendance, from a surgeon-perspective, our medical training education program show a big acceptance and interest in learning about the new products, technologies to ensure their safe and efficacious use, so all of that gives us visibility that we’re going to push out sequential improvement each quarter of 2016. And stands to reason relative to what we were a year ago that that would be the case with the certainty that comes with the progress I just described to you. Furthermore, the revenue dysynergies will begin to anniversary out as we get into the latter part of the year and so you can picture a line graph where the cross-sell is accelerating through the year. And the revenue dysynergies as you get to the back part of the year begin to anniversary out. And as a consequence we’d expect to hit market growth rates in the second half of the year, and then exit the year at or above market growth rates.
David Lewis: Okay. Thank you very much, David.
David Dvorak: You’re welcome.
Operator: Thank you. And our next question comes from Bob Hopkins with Bank of America Merrill Lynch. Please go ahead.
Robert Hopkins: Thank you and good morning.
David Dvorak: Good morning.
Daniel Florin: Good morning.
Robert Hopkins: So just to really to follow-up on that, because you definitely agree that there is really nice progress being made here with cash flow and earnings. So I just want to drill down a little bit more on the prospects for revenue growth improvement, so a couple of quick things. First, it sounds like this is the case, but can you just confirm, David, that the level of sales-force turnover that you’re seeing is kind of as you expected, I just would love to get a specific update there? And then, also in your 2016 revenue growth guidance, are you assuming that Southern Europe and emerging markets improve or are you assuming they kind of stay the same? And then, lastly and probably most importantly, I was wondering if you could just kind of drill down a little more specifically on, what are the product lines that you think are most likely to drive acceleration over the course of 2016? What are the things that you have the most confidence in? Thank you.
David Dvorak: Sure, Bob. I think that to take them in order, the sales-force turnover is very consistent with our expectations. We had described to you that with a fairly normal cadence of turnover in 2015. But what had transpired in the first-half of the year was a slowing of the hiring, particularly in the case of the independent distributorships. That began to correct out as the months progressed. And now we’re entering 2016 with an expectation that that will net one another out and we’ll get into positive growth. In particular, emphasis is going to be placed upon the non-large joint to bring more sales-force specialization, because we have all the necessary ingredients from the product portfolio to compete very effectively in some of those faster growing markets. And a lot of room for growth and runway based upon our market share. So we’re enthusiastic about that. So consider the sales force to be stable and we would look 2016 to bring net gains and sales force representation. The presumption on the emerging markets and sort of the certain countries within Europe that we referenced in our comments is at steady state, probably more of what we would expect to see or what we experienced in the second half of 2015 continuing into 2016. And there’s been a lot of discussion around, Latin America in particular we’ve experienced that in full. In our case, our business in China is held up more strongly than what it sounds like other people are commenting on. And we continue to believe that will perform strongly. But even that business has slowed down. We’re still in a growth mode in China. So those emerging markets have gone from historically strong mid- to upper-teen growth quarter-to-quarter, to sort of double-digit growth by the middle of last year into low single-digit growth. And we’d expect that picture to improve, because we’re going to be anniversarying out of some of those downward trends, so more than that dictates that. As far as the products go, it’s a long list, but I could rattle off the top of my head some of the ones that we’re already seeing, a lot of interest and uptake on Persona, is it’s doing really well, obviously taking that product into the legacy Biomet customer accounts. I would tell you that within the knee category, we’re seeing a lot of interest in Oxford at this point in time. And that’s an opportunity for us. In light of the divestiture that’s pretty special. We are doing very well with Gel-One. We’re doing very well with Subchondroplasty. We’ve talked to you in the past about the hip products that are additive, mostly coming from the legacy Biomet side that had been performing quite well. And that’s a business unit that we need to shore up that concludes revision on the side of the hips. The comprehensive shoulder is doing very well on the Extremities side. And I would add in some of the complementary aspects of the product portfolio within Trauma. Distal Radius Plating, which was a space that legacy Zimmer was not hardly present at all-in. We’re going to do very well with that product. That’s a pretty good list for you.
Robert Hopkins: Yes. I appreciate the detail. I’ll leave it at that. Thanks very much for the help.
David Dvorak: You bet. Thanks, Bob.
Operator: Thank you. And our next question is from Mike Weinstein with JP Morgan. Please go ahead.
Michael Weinstein: Good morning, guys. Thanks.
David Dvorak: Good morning, Mike.
Michael Weinstein: So my first question is pricing got better in the fourth quarter. Your pricing was down 1.3% versus 1.9% for the year. And then, you guided to down 2% for 2016. So was there something in the fourth quarter that was an anomaly on the pricing front, or is there a reason to think that pricing will do better than what you’re guiding to? Thanks.
Daniel Florin: Sure, Mike. You’re right. We had experienced the last two years of very tight range within tens of basis points right around that two-number consistently. So the year actually ended on a positive note. And when you pull it altogether, minus 1.9% for the year is on the low-end, really at what we had guided to coming into the year. It was a good quarter. I think that the teams are doing a nice job in particular of positioning these products. The broader portfolio creates opportunities to ensure they were matching the customer need, customer ability. And I think that this is going to be a sustained feature of the broader portfolio that comes with the combination. That said, one quarter - a trend does not make. And we just want to be smart about our guiding going forward. I think that the 2% number is the right way to think about price down in 2016. And remember that, although we’re anniversarying out of - at the end of Q1, the biannual adjustment, which got spread off over two years in Japan, we’ll re-enter that world come April 1, with the next round. So all of that in, I think that that approximate 2% down is the right way to think about 2016, Mike.
Michael Weinstein: Okay. And then just two clarifications; so one, David, you talked about part of the math on growth acceleration in the back-half as you’ll have easier comps. You said that the attrition on your reps was normal. So what is it that you see as being easier in the back-half of the year relative to the first-half in terms of was there in the back-half of the year was your lost business that you’ll anniversary on or lost territory managers that you anniversary on? And then, just to clarify your view of market growth and getting to market growth in the back-half of the year, is that 2.5% to 3%? Is that better than that, would love to nail you down on that? Thanks.
Daniel Florin: Sure, Mike. I think about that market growth rate in round numbers of 3%. And the sequential improvement really isn’t driven by anything in particular by way of anniversarying, I guess, out of a loss in a particular area, as much as it is just running the offense that we have at this point in time. I mean, it’s true that the math is advantageous to produce growth rates based upon the performance of the company in the second-half of last year. And you’re able to have full access to those numbers to understand that dynamic, but we’re focused on taking what we believe to be the industry-leading product portfolio and executing. And remember that as we built this channel out across the globe, we picked the most successful leaders. In the U.S. we’ve referenced this before; on average those selected leaders were growing their business at 300 basis points above those that were not selected to take the business forward. So we have a lot of experience at the rep level, proven leadership at the territory level and with this product bag and running the offense that we expect to run, we’re just going to be driving ourselves back into that market growth rate. So think of that that second-half as 3% and then, of course, with the presumption that we’re communicating that every quarter we’re going to improve that we ought to be exiting the year at or above that 3% rate going into 2017.
Michael Weinstein: Okay. Perfect. Thank you, guys.
David Dvorak: Thank you.
Operator: Thank you. And our next question is from David Roman with Goldman Sachs. Please go ahead.
David Roman: Thank you and good morning, everybody. I want to just to start on the pipeline side of the story. And one of the elements clearly that was sort of sitting under the hood at Biomet is just the degree to which I think at the time of the acquisition they were on pace to develop a fairly decent cadence of new products. So maybe you could sort of talk to us about where you are with respect to integrating the pipeline products like the Biomet XP Knee and maybe some of the products in the Sports Medicine side, and when we can sort of get an update on how those rollouts are progressing.
David Dvorak: We have a couple of dozen products that we expect to launch this year David and just as the visibility to the existing product portfolio has become clear as we’ve been able to get around and talk to various stakeholders, I would tell you that the pipeline is just as impressive by virtue of the combination. And so, the thing I would tell you is that as we move those products into full commercial release, we’ll be communicating those, we’ll update you in the conference calls, we’ll be putting our press releases to highlight those product and solution releases. And we’d look to do a bit of a preview at the academy this year too. We just want to be smart about the pace of communicating that. But it is the case that it is across all product categories. It’s an impressive pipeline and that really isn’t the basis for the sequential growth. That plan is really built more fundamentally off of the existing bag. But I would tell you that we think that this product pipeline is going to set us up well, as we get back to market and beyond growth rates to sustain that performance going forward.
David Roman: Okay. So I’d just ask a follow-up on that and then combine it with a financial question. So is it the right way to think about it, David, and that the execution around the sales-force and the integration what drives you back to market growth and the pipeline that you just referenced, and on which we’ll get more detail, is what drives you towards that 4% plus that you presented in January, is it 2020 goal? And then, on the financial side, Dan, it looks like from your guidance that your conversion from net income to operating - adjusted income to operating cash flow is roughly a 100% which is obviously a pretty good number. Is that the right type of ratio to think about on a go-forward basis?
David Dvorak: So, David, I’ll respond to the first part. I would - maybe a subtle adjustment to the way you framed the response. I would tell you that the existing product portfolio puts us in a position to get back to market growth and then above market growth rate. And I see the pipeline is sustaining that above market performance thereafter.
Daniel Florin: David, with respect to operating cash flow in relationship to adjusted net earnings, certainly, 2015 and to a lesser extent 2016, cash flow has been weighted down by integration related cost as well as the merger cost themselves. So I think that you will absolutely see us kind of return to a normalcy in correlation between adjusted net earnings and our operating cash flows. So that’s the right way to think about it.
David Roman: Okay. Thank you very much.
Daniel Florin: Thank you.
Operator: Thank you. And our next question is from Larry Biegelsen with Wells Fargo Securities. Please go ahead.
Larry Biegelsen: Good morning. Thanks for taking the questions.
David Dvorak: Good morning.
Larry Biegelsen: First, obviously, you showed a stability in Q4, but there is a narrative out there that the disruptions might manifest few quarters after the deal-close, as contracts start expiring that you signed as part of a retention program. So, David, can you lay people’s concerns that maybe that will come to fruition? And I had a follow-up, thanks.
David Dvorak: Sure, Larry. There really aren’t any such contracts. I think that to the extent that there were any kind of state plan that was more in the Biomet side, and those would have been geared towards retention through closing. So we’ve already transitioned the business. We’re running as one entity. And I would tell you further more that to the extent the third-party arrangements that we’re into as part of the distribution channel, with those we’ve had great success in solidifying those contracts, getting those things executed and those include any compensation plan that we carry forward. So that is seamless from 2015 and 2016. And we don’t see risk along the lines of what you’re questioning.
Larry Biegelsen: That’s helpful. And then for my second question, maybe it would be helpful to hear your updated thoughts, David, on robotics. Obviously, one of your competitors seems to be getting a little more traction there, as well as custom implants. And at Biomet, I believe, you talked publicly about having custom implants before the acquisition. So an update on that program and how much of a priority that is for you? Thanks for taking the questions.
David Dvorak: Sure, Larry. I think that the opportunity to drive enhanced quality in a cost efficient way is an area of focus for us from an innovation standpoint. It’s been an area of focus for us through both internal and external development over the better part of the last decade. And we’re happy with our progress. The portfolio of preoperative and intraoperative technologies that we’ve assembled and continue to expand is strong. It includes proprietary technologies like iASSIST as well as Signature PSI eLIBRA for soft-tissue balancing. And we think that there is a wonderful value proposition for that set of technologies. But we’re mindful in a way that we’re developing these technologies to ensure that there is in fact a proven clinical benefit and it’s delivered in a cost efficient way. And in the evolving healthcare market that we’re looking to serve and the partnerships that we want to create, that it will be deeper than ever with these customers, to ensure that they’re bringing about an enhanced level of quality in the patient care, that they deliver at the same time, that they’re managing costs in an optimized way. We think that that’s the right recipe. So we think that there is a need and an opportunity to improve. We think that, for instance on the large joint side, to drive towards more reproducible use of these systems; the alignment, placement soft-tissue balancing; all areas that we’re very much focused on, we just think that it needs to take the form of clinical proven cost-efficient solutions. And so that’s what we’ve been focused on and what we’ll continue to focus on. We’re really agnostic as to the embodiment of that technology, so long as it meets those needs. With respect to - you referenced custom solutions; we have built out a wonderful portfolio of personalized solutions. Our interventions we can help clinicians irrespective of where that patient is in the disease state along the continuum of care. And then, wherever that plot point is on the continuum of care for that particular patient, we want to offer the most personalized solution. So when you apply that to our portfolio, everything from early intervention, joint preservation solution, such as Gel-One and Subchondroplasty through partial knee replacements, for instance, with Oxford into a total knee solution whether it’s Vanguard or Persona, The Personalized Knee System. That’s a system that offers approximately 17,000 permutations. So we did extensive work to identify anatomical differences and designed a system that would address any of those anatomical differences with clinical significance. And so, there really is a mass customization strategy that’s worked very well to leverage off of the heritage and clinical proof points of the legacy systems and ensure that we’re bringing about improved patient outcomes without incurring the risk of going backwards. We referenced Biomet’s custom solutions. It is the case that the Vanguard Select is a custom solution. So as I described to you, the mass customization approach that we took with Persona, there are going to be instances where a patient’s anatomy is such an outlier or in oncology context, bone void context, deformities, you need a true custom solution. And I’m sure that our company has done more of that in the musculoskeletal space than anyone, including the solutions that Biomet has provided. And that isn’t just in large joints. We do terrific work. I was just down a week ago in our craniomaxillofacial group. And they’ve done some, quite literally, life-saving solutions for patients on a true custom basis. So across all of our product lines, we have active efforts and existing solutions in that regard.
Larry Biegelsen: Thanks for taking the questions guys.
David Dvorak: You bet, Larry.
Operator: Thank you. And our next question comes from Joanne Wuensch with BMO Capital Markets. Please go ahead.
Joanne Wuensch: Good morning. And thank you for taking the question. Spine was lagging this particular quarter or getting a lot of different results out of different manufacturers. And I was curious, if you could provide a little bit of color on what you’re seeing. But more - what does it take for you to get that back more towards a market growth rate?
David Dvorak: Sure, Joanne. I think that that’s one where as we indicated going back a quarter, the expectation was we were going to see some revenue dyssynergies by virtue of the integration. We’ve completed that integration. All of the independent distributors are signed up at this point. United States is a strong channel and the product portfolio is stronger than either entity had quite obviously. So whether it’s MIS with the legacy Zimmer PathFinder system or lateral access approach with Timberline and the implant technologies, and we’ve got some exciting launches to come yet in 2016 on that front; so that a sales-force that’s ready to go. I don’t think that we’re going to be talking about that hitting back to market growth for very long before we’re past that point. We’re taking share. I expect that to happen in 2016.
Joanne Wuensch: All right. That’s helpful. And then, this is a boring question, so forgive me. Tax rate, is there a way that this could be managed? Thank you.
David Dvorak: We give, Dan, all the boring questions.
Daniel Florin: Thanks, Joanne.
Joanne Wuensch: Any time.
Daniel Florin: It’s actually a very important issue for us, and one that we are very focused on - over the past year we’ve been focused on establishing a way to repatriate cash from offshore to the U.S. in a tax efficient manner. And we did that through structuring alongside the merger transaction. So that was really a critical near-term priority that’s complete at this point. And as we come in here to 2016, coordinating efforts with our head of manufacturing and supply chain, we see a path towards a lower future adjusted effective tax rate. It takes some time to put the building blocks in place to accomplish that. But we’re very focused on it, and expect to see improvements in the years to come. Not in 2016, but beyond that we see a path towards a lower effective tax rate.
Joanne Wuensch: Terrific. Thank you.
Daniel Florin: You’re welcome.
Operator: Thank you. And our next question comes from Matt Keeler with Credit Suisse. Please go ahead.
Matthew Keeler: Hey, guys. Thanks for taking the questions. I guess, just to start on - you highlighted strong growth in Asia and mentioned that China had been a point of strength relative to some of your competitors. What do you attribute that, is it sort of different business mix or do you think you’re actually taking share there?
David Dvorak: Well, we’ve had strong performance for a long, long time in that market. So I would expect, we continue to perform well relative to the market, Matt. But I think it’s also fair to point out that the mix of the business is likely different. Some of the companies that are reporting out have business segments and sectors that we don’t operate within, that it sounds like might be more materially impacted by what’s happening in a macro economic sense within that marketplace particular. For instance, the capital goods side is not that prominent for our businesses. It’s more of a traditional orthopedic business that we’re focused within the Chinese marketplace. So I would expect that business for us to continue to perform well, but as I said, it did slowdown relative to its historic growth rates.
Matthew Keeler: Got it, thanks. And just my follow-up, your Americas growth in knee has got a little better. I think in hips it was relatively consistent with last quarter. Just any color you can provide on how you see that market and can you give us any context around the impact of LatAm on Americas’ hips and knees in the quarter?
David Dvorak: Yes. It was fairly substantial within the quarter. Now, we’re seeing the fact that that scheme of things, it’s not a large business, just because the downturn has been pretty dramatic in Latin America. As you said, within the United States market, we took a sequential step forward just in growth rates in both the large joint categories, but closed the gap to a greater extent in knees. And, Dan, you may be able to provide a little bit more clarity on the Latin America breakout.
Daniel Florin: Well, I think that as David said in the U.S. on these good progress, closed the gap to market, not at market growth rates based on our model for the fourth quarter. But importantly, began to close that gap. Some work to do on hips. But as we talked about on the pipeline side and the cross-sell opportunity, we see a path towards closing that gap to market first-half of the year, and then, working our way back above market. The Latin America piece, as David said, is not that significant. But the declines are significant in a place like Brazil, which is enough to create a headwind at the Americas level. And then, quite frankly at the consolidated level as well. And back to the earlier question, our guidance for 2016 on Latin America assumes a very similar environment in 2016 as we’ve seen here in 2015.
Matthew Keeler: Okay. Thanks.
Daniel Florin: You’re welcome.
Operator: Thank you. And our next question is from Glenn Novarro with RBC capital markets. Please go ahead.
Glenn Novarro: Hi, good morning, guys.
David Dvorak: Good morning.
Glenn Novarro: Your EPS guide for 2016 came in well ahead of our expectations. And if I look at the two biggest changes within the P&L, at least relative to our thinking, it’s in the gross margin as well as in the SG&A ratio. So, Dan, I’m wondering if you can provide us a bridge as to what’s getting us to the higher gross margins for 2016, and as well as a bridge to what’s getting us to a lower SG&A ratio. Any specifics would be helpful. Thanks.
Daniel Florin: Sure. With respect to the gross margin rate, our assumption is that 2016 actually is quite similar to 2015. And now there’s a lot of moving parts within that ability to hold the gross margin rate. There is the impact of foreign currency through the translation, but then there is also the benefit of the cash flow hedges that flow through the gross margin line as well. On top of that, the synergy program, we do start to begin to see some level of benefit at the COGS line by virtue of the integration. And that’s also contributing to kind of a flattish overall gross margin. And I think the other important point while, foreign currency, the impact to the 2016 P&L remains significant as that was in 2015. And so the foreign currency headwind, their earnings is in the neighborhood of $0.15 or $0.16 of headwind on EPS. The other important point, as we are planning to reinvest the medical device tax. And so we account for that up in COGS. So there is the shift out of COGS into R&D in our 2016 guidance.
Glenn Novarro: And then, just can you comment a little bit on SG&A, because at least relative to our model, the SG&A ratio is coming in below what we were forecasting; so any specifics there that you can call out? I know that you said on the call that the cost savings are right on track. But at least to us it seems like maybe cost savings are coming a little bit quicker. Thanks.
Daniel Florin: You’re right. The SG&A progress is predominantly related to the integration and the synergy program. So I quoted accumulative $225 million in 2016. And that’s really focused bit in COGS and more proportionally in the SG&A area. That’s the main driver.
Glenn Novarro: Okay. Great. Thank you.
Daniel Florin: You’re welcome.
Robert Marshall: George, we have time for one additional question.
Operator: Thank you, sir. Our next question comes from Matt Taylor with Barclays Bank. Please go ahead.
Matt Taylor: Hi, thanks for taking the question. Can you hear me okay?
David Dvorak: We can.
Matt Taylor: Great. So two questions that are kind of related; one is, I just wanted to understand, I guess, where you are on the synergies. And given that you had already raised the net guidance once and you’re progressing pretty well here, can you talk to any potential to actually raise that number again and outperform your pre-tax synergy guidance?
Daniel Florin: I’ll take that Matt. I think we’ve communicated before. First and foremost, we’re really pleased with the progress we’re making. The teams have done a terrific job driving that. It’s not been easy, but the teams been executing extremely well. And that manifests itself in that range, up to that 155 in year one. Importantly, to the extent that we’re able to exceed what we’ve communicated, we - first and foremost, we would look to reinvest that back into the business and in towards driving top-line growth. So I think that’s the right way to think about it.
Matt Taylor: Okay. And then, Dan, you’ve mentioned a couple of times in the past kind of general comments on how you would approach getting your tax rate down over time. Can you talk about any specifics around that strategy? Because I noticed in your guidance you really don’t have a lot of tax leverage but you’re still significantly higher than peers.
Daniel Florin: Yes, we are. And driving - the elements necessary to drive our tax rate down, frankly, first and foremost, begins with where you manufacture your products. And so, with the merger we have an opportunity to take a fresh look at our sourcing strategy in that regard, as well as where intellectual property is housed and so forth. And that’s why there is no quick fix to do that, but we do see a roadmap to drive the tax rate down. It’s something that we were successful with on legacy Biomet and there’s opportunity here on Zimmer Biomet to drive the same type of reduction. It will just take some time.
Matt Taylor: Okay. Thanks a lot, guys.
David Dvorak: Thanks, Matt. So with that I’d like to thank everyone for joining the call today and for your continued interest and support for Zimmer Biomet. We look forward to speaking with you on our first quarter conference call, which is scheduled for 8 AM on April 28. I’ll turn the call back to you, George.
Operator: Thank you, sir. Ladies and gentlemen, thank you again for participating in today’s conference call. You may now disconnect.